Operator: Welcome to Teekay Tankers Ltd. Third Quarter 2015 Earnings Results Conference Call. [Operator Instructions] As a reminder, this call is being recorded. Now for opening remarks and introductions, I would like to turn the call over to Mr. Kevin Mackay, Teekay Tankers Ltd., Chief Executive Officer. Please go ahead, sir.
Cameron: Before Mr. Mackay begins, I would like to direct all participants to our website at www.teekay.com, where you will find a copy of the third quarter 2015 earnings presentation. Mr. Mackay will review this presentation during today’s conference call. Please allow me to remind you that our discussion today contains forward-looking statements. Actual results may differ materially from results projected by those forward-looking statements. Additional information concerning factors that could cause actual results to materially differ from those in the forward-looking statements is contained in the third quarter 2015 earnings release and earnings presentation available on our website. I will now turn the call over to Mr. Mackay to begin.
Kevin Mackay: Thank you, Cameron [ph]. Hello, everyone and thank you very much for joining us today. With me here in Vancouver is Vince Lok, Teekay Tankers’ Chief Financial Officer and Brian Fortier, Group Controller of Teekay Corporation. During today’s call, I will be taking you through Teekay Tankers’ third quarter of 2015 earnings results presentation, which can be found on our website. Beginning with our recent highlights on Slide 3 of the presentation, Teekay Tankers reported adjusted net income of $0.30 per share in the third quarter, a substantial increase from the third quarter of 2014 adjusted net income of just $0.03 per share. Improved results were primarily due to stronger tanker spot rates combined with an increase in our spot tanker fleet, as a result of the acquisition and delivery of modern vessels during the first nine months of the year and an increase in our in-charter portfolio. We generated free cash flow of $59.4 million, or $0.44 per share during the quarter, up from $16.2 million or $0.19 per share in the third quarter of 2014. In early August, we announced strategic acquisition of 12 modern Suezmax tankers for a total cost of $662 million and completed the delivery of all 12 vessels in just under 9 weeks, with the last vessel delivering into our fleet on October 15. In addition, we also completed the acquisition of a leading global ship-to-ship transfer business, SPT, for $45.5 million. I will provide an update on the integration of these acquisitions later in the presentation. With the well-timed acquisition of the 12 Suezmax tankers, which will increase our Suezmax operating days, we expect to generate significant free cash flow in what we anticipate to be a strong winter tanker market. Turning to the Slide 4, I will discuss the execution of our two strategic acquisitions. Teekay Tankers emerged as the successful bidder of the Principal Maritime Suezmax fleet at an attractive en bloc price of $662 million. Our track record for seamlessly completing large scale S&P transaction was key to our winning bid. Following the transaction announcement, we assimilated all 12 vessels into TNK’s platform over span of only 9 weeks. This in itself was no easy feat given there were 12 individual purchase transactions, registry filings and other delivery verticals, which were required before the vessels could be fully assimilated into our fleet. The successful delivery of these vessels in such a short timeframe speaks to the exceptional cross-functional expertise held within Teekay Tankers. In addition to the 3 Suezmax tankers that required scheduled drydocking this year, in order to maximize long-term earnings, we accelerated the drydock of 5 additional Suezmax tankers, thus negating potentially expensive ballast water treatment modification expenditures until 2019, as well as undertaking some eco modifications to improve the vessels’ fuel efficiencies. I would like to point out that our third quarter results were negatively impacted by this heavier than normal docking schedule as well as the timing difference related to the issuance of new common shares early in the third quarter in connection with the Principal Maritime and SPT acquisitions. All told, these timing differences reduced our third quarter earnings by approximately $0.05 per share. On the table on the right hand side, we have detailed the number of ships as well as ship equivalents in the third quarter and fourth quarter of 2015 and the first quarter of 2016 to show the impact of these drydocks and to highlight that the majority of these vessels will be out of drydock and operating for the bulk of the anticipated strong winter tanker market. For a detailed schedule of TNK’s docking through 2016, I refer you to Appendix on Page 11 of this presentation. Significant increase in our fleet from 17 vessels we have acquired in the past year will allow us to gain further economies of scale and reductions in our G&A going forward. Moving on to our other acquisition, we have commenced integration of the ship-to-ship transfer business acquired in July. We have realized cost synergies associated with combining certain functions and are in the process of re-branding SPT into Teekay Marine Solutions. This acquisition is expected to contribute future revenue synergies as we integrate the acquisition into TNK’s well-established platform. Both of these strategic acquisitions will be accretive to earnings and cash flow per share and we are excited for TNK to begin realizing the full benefits of these transactions in the coming quarters. Turning to Slide 5, I will discuss how Teekay Tankers continues to execute on its strategy while delivering the shareholder value. As shown in the graph on the left, we have been increasing Teekay Tankers’ net asset value by de-levering our balance sheet. Our financial leverage has significantly decreased over the past two years from a high of 72% in the third quarter of 2013 to 53% as of September 30 this year. Looking at the chart on the right, our vessel acquisitions and in-charter vessels have translated into significantly more favorable operating leverage. For every $5,000 per day increase in spot rates, Teekay Tankers’ free cash flow increases by approximately $0.57 per share with the delivery of our newly acquired Suezmax tankers into the spot market and strong rates going into 2016, we expect to continue earning significant free cash flow, which will help further reduce our balance sheet leverage to a more appropriate level. With our continued success in de-levering the balance sheet, we plan to review Teekay Tankers’ dividend policy with our Board of Directors in December 2015. Turning to Slide 6, we look at developments in the crude tanker spot market. Crude tanker spot rates softened slightly in the third quarter, which is consistent with the seasonal weakness we traditionally see at this time of year as refineries head into a period of scheduled maintenance. However, rates remained strong on a historical basis as illustrated by the chart on the left, which shows average third quarter spot rates over the past six years. Suezmax rates averaged over $12,000 per day higher than the same period in 2014, while third quarter Aframax rates averaged $7,000 per day higher. These higher rates reflected the strong industry fundamentals, which continue to underpin the tanker market, namely low fleet growth, low oil prices, strong refining margins and strategic and commercial stockpiling. Looking at the chart on the right, tanker rates began to strengthen again towards the end of the third quarter, led by the VLCC sector, which saw rates exceeding $100,000 per day in late September and early October. The high VLCC rates stem from an increase in Chinese demand for Middle Eastern, West African and North Sea barrels along with weather and port delays in Asia and a significant increase in crude loadings from South Iraq. Although earnings in the midsize sectors initially lagged VLCCs, we have now started to see an increase in both Suezmax and Aframax earnings, with rates climbing in the past couple of weeks to the highest levels seen since July. Turning to Slide 7, we look at our expectations for the upcoming winter market, which we believe will be strong due to both fundamental and seasonal factors. Looking first at the fundamentals the IEA forecasts global oil demand to increase by about 250,000 barrels per day during the fourth quarter as shown by the graph on the left. The increase in demand is largely due to the combination of colder weather in the Northern Hemisphere and the conclusion of refinery maintenance. While Chinese oil demand softened slightly in the third quarter, imports remained steady at about 6.7 million barrels per day. This suggest that stockpiling programs are providing underlying support to the Asian tanker market as the Chinese government looks to take advantage of low oil prices by adding to its strategic petroleum reserves or SPRs. In addition, the relaxation of import restrictions for Chinese independent or so-called teapot refineries could increase crude imports into China and lead to a diversification of supply sources for Chinese crude imports. Such diversification may be a positive driver for both Aframax and Suezmax demand specifically as these new market entrants look to source smaller parcel sizes directly from regional producers. Looking at the chart on the right, we see that strongest months for crude tanker rates are typically December and January. And we therefore, anticipate that the best is still ahead of us in terms of tanker earnings. Seasonal factors such as winter weather and transit delays typically build during the fourth quarter, particularly as daylight hour shorten and we see more fog in major tanker thoroughfares such as the Bosphorus Straits and the Houston Ship Channel. In addition, we are already seeing port delays in areas such as Northwest Europe and China due to intermittent discharge and ullage issues, which is further helping to tighten tonnage supply and provide increased volatility to rates. Putting together the combined impact of seasonal factors with continued low oil prices, driving strong oil demand and limited fleet growth, we expect the firm winter tanker market through the remainder of the fourth quarter and into the early part of 2016 marked by periods of high rate volatility. Turning to Slide 8, I will provide an update on spot tanker rates for the fourth quarter to-date. Compared to average realized rates on the third – for the third quarter of 2015, Suezmax, Aframax and LR2 rates for the fourth quarter of 2015 to-date have been lower. However most recently, mid-size crude tanker rates have strengthened and have remained firm into the November fixing window. As the darker grey bars in the graph illustrates fourth quarter rates to-date across all three segments are already higher in 2015 when compared to the fourth quarter of 2014 actual results. Increased seasonal demand as well as ongoing stockpiling programs should continue to support strengthening in spot rates, ultimately improving our fourth quarter earnings in the Aframax and Suezmax segments. To illustrate this, we have highlighted the red dotted areas in the graph, which represents projected fourth quarter earnings when our bookings to-date are combined with current estimated forward rates for our unfixed fourth quarter vessel base. With the assimilation of our strategic acquisitions well underway and Teekay Tankers’ strong operating leverage and increased spot exposure, we are confident that the continued strengthening of spot rates will translate into a significant increase in our earnings and cash flow through this winter rally. With that Operator, we are now available to take questions.
Operator: Thank you. [Operator Instructions] Your first question comes from Jon Chappell of Evercore ISI. Please go ahead.
Jon Chappell: Thank you. Good morning Kevin.
Kevin Mackay: Good morning Jon.
Jon Chappell: Good to see the comments about the dividend, looking at it again in December, also the things that almost by – you leveraged down to 53% despite taking down 12 ships in the last quarters, you are really close to I think to what’s the perceived target of about 50%. Just want to get your thoughts and then also Vincent’s thoughts because you have been there at different periods of time, Kevin you are still somewhat relatively new been there during the growth days, Vincent has been there since the beginning and how would you think about fixed dividends versus TNK first setup as with floating percentage dividend?
Kevin Mackay: Want to get that?
Vince Lok: Hi Jon. Yes. As you know, TNK started out when it IPO-ed in 2007 with a floating dividend. At that time, it was a full payout and as we indicated, we won’t likely return to a full payout dividend. But in terms of the fixed versus variable, for a company like TNK, which is right now is predominantly trading spot, probably a floating dividend mix, more sense for TNK. But as Kevin mentioned, that’s something we need to discuss with the Board that – at the Board meeting next month and we will report back after that.
Jon Chappell: It sounds good. Two other follow-ups, noticed kind of tucked away in the press release, you sold one of the MR tankers. Clearly, you have some older ships in the fleet still, some late 1990s built, maybe on the crude side, hold on to those given the strength of the market right now. But would you think about fleet replacement may be the MRs don’t necessarily fit with the structure right now, would you to monetize those kind of in the near future like you did with this last one. Then also, the ‘90s build ships that you hold on kind of top tick the cycle or do you try to replace them sooner rather than later?
Kevin Mackay: It’s really an overall portfolio questions that you are asking, Jon. And the MRs are no different to the way we look at the rest of the fleet. Obviously, they are not core, but they have been earning some good returns in the pools that we have had them in. So we are harvesting the cash out of those while they provided that sort of positive return. We have sold one. We are looking at the other two and seeing what opportunities are there to take value out of them. And as far as the rest of the fleet goes, at this point in time, we are looking to harvest the cash that we can generate from the crude space. In the back of our minds and as we go through our management evaluations on this topic, we are always looking at our fleet age, rebuilding and renewing the fleet and how we go about that. When do we take older assets off the table at the right point. So it’s something that’s always on the table on a monthly and quarterly management conversation.
Jon Chappell: Okay, understood. Final thing for Vince, noticed the short-term debt jumped pretty significantly, I am assuming there is some expiration or even bullet payment due, it’s not the big bullet payment, I don’t think it’s not until late ‘17, so that wouldn’t show up there, what’s behind the big jump in the short-term debt and is that something that can be refinanced away or do we have a big capital outflow coming up?
Vince Lok: Yes. That’s relating to the bridge loan facilities relating to both the 12 Suezmaxes from Principal as well as the five ships we acquired earlier this year. So those two bridge facilities expire at the end of January. So we are actually in the market right now to refinance those and that’s going quite well.
Jon Chappell: Great, alright. Thanks Vince. Thanks Kevin.
Kevin Mackay: Thanks Jon.
Operator: Thank you. Your next question comes from Mike Weber of Wells Fargo. Please go ahead.
Mike Weber: Hi, good morning guys. How are you?
Kevin Mackay: Good. Thanks Mike.
Mike Weber: Just I wanted to follow-up on I guess, with a couple of questions. First around actually around the leverage, but also just around I guess the way you guys think about growth from here. I know it’s a bit early because you are still digesting the Apollo fleet but you [indiscernible] case the asset value is probably under the previous context, but it will be more attractive here than even a couple of months ago. So I am just curious whether you think we are still on an attractive environment to acquire assets. You have got one of the only tanker currencies that trades at a premium to NAV and we can use it. So I guess within that context, if they are attractive opportunities out there, would the strength of the currency basically make any dividend position kind of independent of any future growth?
Kevin Mackay: I think, as a tanker man, obviously there is some opportunities out there and we evaluate all of them as they come across our attention. As you – I think you pointed out quite rightly Mike, where we just digested or are digesting a fairly sizable transaction and trying to make sure that we maximize the value out of that transaction. So our immediate focus is really on integrating those 12 ships and getting them out into the market, earning good rates. In terms of where the market is at, I think there is still upside to the secondhand market. It’s lagged a little bit relative to where rates are, where time charter rates are. And I think there is interest in the market there, but it’s a question of narrowing that bid ask spread. I think owners are looking maybe a little too bullishly and they could be patient, because they are earning good income while they hold on to the ships. But I think there is – we are still below the 10-year average. I think we have got some room to move up, but our focus immediately is to make sure these 12 ships in the SPT transaction get fully integrated and start returning value to the organization and shareholders.
Mike Weber: Sure. And then – and Vince, I think Kevin effectively answered this, but just to be clear, December is or the Board is maybe the way off, I am just trying to think the dividend increases independent of anything that could happen between now and then for all intents and purposes?
Vince Lok: Yes. And maybe just to elaborate a little bit more on this, the dividend question. As Kevin showed, we have had good progress in terms of de-levering our balance sheet. At the end of September, we are at 53%. So, we still have more de-levering to do on the balance sheet, but given the significant amount of free cash flow that we are generating right now and just looking at the third quarter $0.44 a share free cash flow and that’s going to increase more in the fourth quarter compared to our current dividend of $0.03. We think we can do both in terms of increasing the current dividend as well as continue to de-lever the balance sheet. So, it’s striking that the right balance between prudent management of the balance sheet as well as rewarding shareholders with the higher dividend.
Mike Weber: Okay, that’s fair. Kevin, I wanted to touch on the – it’s relatively new, but the shutdown – the strike shutdown in Brazil around the Petrobras production, just curious what your take on that is whether that ends up eroding some long haul ton miles simply because it’s tougher to kind of transition on export grades into that business? And whether that would be the headwind for crude and maybe a positive for product tankers or whether there are kind of frictions around that, but maybe it makes it tougher to tell?
Kevin Mackay: I think it depends on whether the strike is a long-term issue or short-term issue. I think if it’s a long-term thing, it could have an impact more so on VLCCs than on Suezmaxes. I think the 500,000 barrels a day that they export out of Brazil, I think only 30% or thereabouts, 35% is on Suezmax size ships and Aframaxes. So, that’s more of a VLCC impact. Personally, I don’t think it will be a long-term outage. Oil companies don’t like striking workers reducing oil production. So, I think there is an incentive for management to work with the unions and come up with a solution. I can’t speak directly to Petrobras, but they have a lot of other issues on their table. They don’t need to add to this by dragging out a labor strike.
Mike Weber: That’s fair for sure. Kevin, just one more and I will turn it over. Just generally just kind of given the mix fleet and when you look at your long-term utilization projections for both crude and product. I am curious how you think about the kind of the dirty trading Aframax and Panamaxes? And when do you think we could see those transition back towards product, specifically when you guys think about that market, is there a timeframe in mind when you think you could see some of that incremental supply kind of move from the dirty to the clean trade?
Kevin Mackay: Right now, I don’t see it happening. Obviously, the LR2 has enjoyed a great third quarter. I think they spiked for about $50,000 a day, which could have incentivized some people to transition over. But I think longer term certainly through 2016 I see the crude space being the stronger of the two markets. You have also – you have got to look at the new building program, it’s mainly LR2s on the smaller ships that are coming out. The crude Aframaxes is nonexistent. So, I think those ships will have to be assimilated and we will obviously try and look to go clean as they enter the market. Initially, they don’t want to dirty up straight out of the yard. So, I think there is a bit more pressure on the clean side than there is the crude in the near term. I think certainly, our desire is to keep our ships more on the crude engine than on the clean.
Mike Weber: Okay, that’s helpful. Thanks for the time guys. Appreciate it.
Kevin Mackay: Thanks Mike.
Operator: Thank you. The next question comes from Spiro Dounis of UBS. Please go ahead.
Spiro Dounis: Hey, guys. Sorry, one more on the dividend, I am sure won’t be the last question on the call. Just in terms of sizing it up and I realize you can’t fully comment on it, but just as we are thinking about the fact that would allow you to scale a dividend up and how high it can go. You obviously – and I have a big CapEx program I think in front of you. It looks like you are getting close to your leverage targeted in terms of debt repayment. It sounds like that’s going to get refinanced in terms of the bullets. So, for me, it seems like those are a lot of factors that would allow you to really scale up the size in a big way of that dividend, but just wondering what are the factors that maybe keeping you down closer to earth?
Vince Lok: Yes, I can’t comment on specifics, of course, but I would just reiterate, as I said, we are generating a lot more free cash flow than our current dividend of $0.03. So, there is capacity to increase the dividend as well as continue to de-lever the balance sheet. I would say our leverage metrics at 53% we still have more de-levering to do. So, we are not where we would like to be. But given the amount of free cash flow that we are generating and expected to generate over the next several quarters, you are right, we will probably de-lever the balance sheet quickly, but at the same time have room for a dividend increase. So, I can’t comment on the specifics.
Spiro Dounis: Okay, no worry. That’s right. And then just I guess we saw the $1 billion framework loan facility that Teekay is buying back in September and it looks like the funds would be available to you as well as the other daughter companies, but specifically for vessels I guess constructed or converted in the Chinese shipyards. So, newbuildings has not been something that normally comes up with you guys. Just wondering if we could see you tap into that facility at any point, if that’s something you have even considered?
Kevin Mackay: No, it’s not a conversation that I have had with our sponsor to-date.
Spiro Dounis: Okay, fair enough. Last one just on the continuous offering program, seemed like a really great tool to have and I guess if you come to the end of that, that life. Just wondering if there is plans to maybe initiate another one and if we could see maybe get sized up?
Vince Lok: It is a great tool. It gives us a lot of flexibility. We typically as you know have these continuous offering programs in place for each of our daughter companies and we will likely continue to have that in place. That doesn’t necessarily mean we use it every single quarter. It really depends on whether we have good use of proceeds and also the trading levels of the stocks. So, you are likely – that’s probably going to be a pretty permanent part of our financing strategy for all three daughters.
Spiro Dounis: Great. That’s it for me. Thanks guys.
Operator: Thank you. The next question comes from Fotis Giannakoulis of Morgan Stanley. Please go ahead.
Fotis Giannakoulis: Yes, hi guys. And I just want to ask – my questions have been answered, I just want to ask what is your share count right now just a modeling question?
Vince Lok: Yes. For the fourth quarter, the weighted average share count is going to be a little bit over 150 million shares.
Fotis Giannakoulis: And the total number of shares outstanding at the end of the quarter?
Vince Lok: At the end of September, are you referring to?
Fotis Giannakoulis: Yes.
Vince Lok: I don’t have the exact number, but of course, it’s going to be pretty close to that $150 million, I would say. We had – we issued some more shares in the fourth quarter relating to a few of the principle shifts, because we are issuing them on a ship-by-ship basis. So, I wouldn’t expect it to be – it wouldn’t vary that much from the $150 million, I mentioned.
Fotis Giannakoulis: Okay, thank you very much.
Operator: Thank you. The next question comes from Amit Mehrotra of Deutsche Bank. Please go ahead.
Amit Mehrotra: Yes, thanks so much. Good morning guys or afternoon rather. Looking at the fourth quarter update for the off-hire days, you provided some nice stats on the Q4 with respect to the bookings. But if we just look at sort of the gross headwinds from the extraordinary costs related to those drydockings and plus I guess the unabsorbed cost associated with the financing. Are we talking about sort of the same $0.05 hit in the fourth quarter and so earnings kind of look – and given that the revenue looks a little bit better in the fourth quarter, will sort of 4Q be looking more like the second quarter and so we will see a sequential uptick as we move to the end of the year?
Vince Lok: Well, if you are referring to the Principal ships, the best guidance there is on Slide 4, where we only had 33 revenue days relating to those 12 ships in Q3 and that’s increasing to close to 900 ship days or almost 10 ship equivalents. So that’s probably a good guide in terms of the additional contribution both in revenues and costs all the way down to the P&L. The share counts, most of the shares were issued during the third quarter related to Principal. So that’s – there shouldn’t be additional share count increase materially in the fourth quarter. So that’s a benefit for the fourth quarter. The other thing is we will get another month of contribution from the SPT acquisition in the fourth quarter. So there is a number of factors in addition to stronger spot rates that should contribute to a stronger fourth quarter.
Amit Mehrotra: Okay, great. And then just one follow-up or a couple of follow-ups, one is on the dividend. Kevin, just want to understand the move on the dividend sort of what that implies, potential move on the dividend, what that implies in terms of what stage you guys are in sort of your growth. And I would just want to ask specifically of the surplus cash flow that you guys are generating and it’s significant. How much conceptually are you looking to sort of retain for deleveraging and/or acquisitions. And so I am not asking for a specific dividend or whatever because I know you guys can’t provide that, but if you can just provide some insight in terms of how much of that surplus cash flow you guys think you want to retain given where you are in sort of your lifecycle? Thanks.
Kevin Mackay: Great. I think we have said we will try to make our message is consistent as possible. Going back to when I first joined, we talked about growing the organization. We talked about the runway that we had in the tanker market. And I think we have executed on that strategy to grow the organization. But we have also said that we have now moved into a focus on deleveraging and returning value to shareholders from that growth. So really, the question is, are we going to stick to that strategy. And I think Vince didn’t my comments in the release are fairly consistent with what we have said. We are going to focus on using the extra cost to delever as rapidly as possible. But also we recognized we have got to return some additional values through relook our dividend policy. And we hope to have that conversation with our Board at our quarterly December meeting.
Amit Mehrotra: Okay, that sounds really good. Thanks. Last question for me, I guess no call on crude tank properties finished with that sort of a discussion about supply. And the supply at least on the Suezmax has been sort of creeping up over the last several months. And last week and this week, we have seen sort of some additional ordering or are you – the Aframax looks pretty good next year. I mean, just can you give us sort of your updated thoughts on from three months ago versus three months ago sort of are you getting a little bit more concerned on the back half of next year, specifically on the larger vessels or are you still sort of confident on sort of the demand side being able to absorb that?
Kevin Mackay: Yes. I don’t think three months has changed our view materially. There is – we have always recognized that the backend of ‘16, there was going to be ships coming in from then through ‘17. But I think on the demand side, we are confident that we don’t forecast on OPEC cut in production. And on that basis, lower oil prices remaining low should be good for bolstering demand going forward. So I think our view hasn’t changed from the summer. We still think we have got a runaway to run here. But our focus is right now making sure that the ships that we are taking care of and where we are stimulating into the program get into this winter market that we think is going to be pretty strong.
Amit Mehrotra: Alright. Okay, very good. Thanks guys. Good quarter, I appreciate it.
Kevin Mackay: Thanks Amit.
Operator: Thank you. The next question comes from Shawn Collins of Bank of America. Please go ahead.
Shawn Collins: Great. Hi Kevin, Vince and Brian, good afternoon.
Kevin Mackay: Good afternoon Shawn.
Shawn Collins: So I wanted to ask about the ship-to-ship transfer business. Two questions, one I just wanted to ask ballpark how much annual fee based revenue that you are roughly expecting in the third quarter and fourth quarter. And then second, I wanted to ask how active you have been with the business so far as I know you are just integrating it and how would we think about it as the – how many ship cargos you have transferred or how many customers you have worked with or just any color there to get a better sense of how the business operates? Thank you.
Kevin Mackay: I will take the commercial end of that and you can talk about the finance. Yes, I think the integration has gone really well. I think the purchase of the organization was received very well by the staff and immediately we recognized synergies, not just from a cost perspective or revenue, but also just integrating our communication flows on commercial desks. The business has really got three focus areas. One is U.S. Gulf sort of integration with our Aframax portfolio. The second piece is more of a global support service that we offered and the third piece is the consulting and lightering business in the LNG space. So we have – some of that we weren’t too familiar with. We are very familiar with the Aframax and the global support service piece. And we have identified some synergies with customers that we already have in-house that we think we can grow our business, both on the U.S. Gulf side as well as the global supports. But we have also identified customers in other parts of the world that we haven’t penetrated on the tankers side. So I think I don’t have the specific revenue numbers at hand. Vince, can give you that. But it’s been positive around the conversations we have had with their management and the integration is going very well.
Vince Lok: Yes. In terms of the financial contribution of SPT in the third quarter, it was pretty much in line with what we expected. We will provide more segmented information in our 6-K filing. So you can look at the results specifically for the lightering business. But essentially, the EBITDA for the two months in the third quarter, if you excluded the restructuring charges of about $300,000 in that quarter, our EBITDA was about $1.8 million. So if you annualize that, it’s a little bit over $10 million, which is in line with the guidance we gave last quarter of $10 million to $12 million taking into account that this further revenue synergies to be achieved, especially on the full service lightering side of the business. So the SPT business does impact various line items in the income statements. So we will provide more details in our 6-K filings.
Shawn Collins: Great, that’s helpful. Thank you, Vince and Kevin. A second question, I wanted to ask about Chinese and India strategic oil storage. A few weeks back, there was some press citing crude tankers hitting offshore in China waiting to go to port and that they had to wait due to Chinese storage tanks being reasonably full up. On the other hand, some other industry folks cited that it was more a weather issue a opposed to Chinese storage being full up, I just want to ask you guys for some color on this and kind of what you thought of the delays and what it looks like right now, if you could? Thank you.
Kevin Mackay: I think it was a combination of both, to be honest. There was weather that caused some delays in and out of burst. There was also obviously a surge of imports coming in over that period that caused some backlog. And the difficulty with China is understanding what is strategic and what is commercial in terms of their reserves and their stockpiling. What we may have seen is some commercial storage tanks being filled rather rapidly and taking times to deplete. But I think ongoing, the story around China is that they are not finished with their stockpiling program on a strategic level. And I think in 2016, it’s – we are going to see about 250,000 barrels, 260,000 barrels a day pushing through Phase 2 for that storage. So I think we are always going to get weather delays in winter, coming into the winter season now, I think those delays could be exacerbated in all parts of the world, which is going to tighten our vessel supply. I think the story around China is the underlying strategic build is going to be ongoing in our view.
Shawn Collins: Okay, great. That’s helpful. Very helpful. Good. That’s all for me. Thank you for the time and the insight.
Kevin Mackay: Thanks, Shawn.
Operator: Thank you. The next question comes from Chris Demuth of DCMI [ph] Research. Please go ahead.
Unidentified Analyst: Yes, good afternoon. I am an energy analyst and I have just recently started following this sector, so my questions are basic. I apologize in advance. Do you have a normalized utilization rate for the same-store sales kind of tanker number without the 12 new Principal Maritime vessels for the Q3? I know we have to back out about 1,100 revenue days. Hello? You are shocked at my question.
Vince Lok: Yes, I guess we are trying to understand the question. Are you referring to the number of revenue days?
Unidentified Analyst: Well, the utilization rate, you had 49 vessels in the spot fleet showing 7 of those were the new Principal Maritime vessels, you say only 33 revenue days. Do you have it off hand? I am doing the calculation. If I adjust the number for 7 new vessels in Q3, it’s 644 days. We are looking at about 3,900 revenue days from the existing fleet before the Principal Maritime acquisition and there was about I had it here 3,600, 3,700 days. So, do you have – did you have any drydocks, another way of looking at, do you have any drydocks or off-hire with the existing fleet in Q3 on the spot fleet?
Kevin Mackay: Yes. I think I would point you to our appendix on our drydocking schedule, which gives you the number of off-hire days related to docking. Obviously, of the 7 ships that came in, I think 4 of them went straight into drydock and obviously can’t to be counted, so…
Unidentified Analyst: Well, if you add up those 5 revenue days, the 3,044 days, of revenue days on the spot fleet for Q3 and I believe the number of available days would have about 3,900, so?
Vince Lok: Yes. I think we can help you offline maybe, but just to keep it short, on Slide 11, if you assume, if you take the whole fleet and then you deduct the 381 of off-hire days for drydocking that would get you to your net revenue days for the fourth quarter.
Unidentified Analyst: We will take that offline. Second question, how do you handle balanced runs in these revenue day numbers, let’s say, it’s 33,000 a day for an Aframax and there is a balanced run, is that averaging over the balance run? I know that’s a basic question.
Kevin Mackay: Our utilization numbers are based on ship available days. So, any day that the vessel is not idled due to unscheduled maintenance, everything is included whether they are waiting on loading, whether they are on ballast it all gets rolled in.
Unidentified Analyst: Right, right. So, if there was a balanced run, the actual payment per day for the front leg would be way more than 33,000?
Kevin Mackay: Yes, typically we look at voyages in a roundtrip basis.
Unidentified Analyst: Yes. I am just saying a lot of triangulation is occurring. So, it’s good to know what we are paying for. Second thing, Tokyo spearhead apparently went a ground off Portugal, was there any significant damage on that?
Kevin Mackay: There was damage. The vessel was running ground on the way to drydocking thankfully. There was no oil on board no pollution. And more significantly, no one was hurt, but yes there was damage sustained to the shale play at the bottom of the ship. But she is sitting in off Portugal right now which is actually in drydock to-date. You can access for repairs.
Unidentified Analyst: Okay, okay. Thank you very much.
Kevin Mackay: Thanks, Dennis.
Unidentified Analyst: Chris.
Kevin Mackay: That’s okay.
Operator: Thank you. The next question comes from Richard Diamond of Strait Lane Capital. Please go ahead.
Richard Diamond: Hi, gentlemen. Given the earnings power of TNK right now, the stock is trading as we are in the ninth inning of a ballgame due to the challenges of the order book. If TNK were a baseball game, what inning do you think we are in? And how should we dimension the order book? Thank you.
Kevin Mackay: I beg to differ on the challenges of the order book. I don’t think it is increasing. But I think if you look at global tanker fleet growth, just over 5% is in line with historical averages. So, it’s not an anomalous growth number that we are concerned about having to integrate into the global fleet. I certainly wouldn’t characterize Q4 2015 as the bottom of the ninth. I think as we have tried to articulate that we see on the demand side, 2016 will be strong in terms of oil supply and oil demand, which drives tanker demand. So, I think there is room to move here.
Richard Diamond: I actually agree with you, but recently in the last couple of days, there has been panic about the order book and people’s expectations for ‘16 and ’17, so I am glad we are on agreement. Thank you.
Kevin Mackay: No problem. Thanks Richard.
Operator: Thank you. The next question comes from Noah Parquette of JPMorgan. Please go ahead.
Noah Parquette: Hi. My questions most have been answered. I just had a quick modeling one. So two of the Principal ships though were delivered after the quarter end, right and so the cash flow, how is that going to show up in the cash flow statement as the CapEx for that is going to be in Q4?
Vince Lok: That’s correct, yes. Those two ships will show up in the Q4 cash flow statement.
Noah Parquette: Can you guide to what that number will be?
Vince Lok: Well, it’s two out of the 12, so each ship is roughly $40 million, $50 million each.
Noah Parquette: Alright. Okay. Thanks.
Vince Lok: Most of that is drawing on the debt facility. Is that your question?
Noah Parquette: Yes, that’s all I have. Thanks.
Vince Lok: Okay. Thanks.
Operator: Thank you. The next question comes from Omar Nokta of Clarkson Capital Securities. Please go ahead.
Omar Nokta: Hi guys. Just a quick question sort of regarding your earlier comments about the continuous offering program, I understand it seems to be a good tool to have, but just wondering now with the way cash flows are and how they are on the rise, do you think perhaps that you don’t necessarily need that type of program, especially with the cash flow coming in really starting to accelerate the equity buildup?
Vince Lok: Yes. You are right, we don’t need to use it. And I think I wouldn’t expect us to use it in any material way over the next little while.
Omar Nokta: Okay, alright. Thank you. That’s it for me.
Operator: Thank you. [Operator Instructions] The next question comes from Magnus Fyhr of GMP Securities. Please go ahead.
Magnus Fyhr: Yes. Hi guys. Just had a question on the Principal fleet, Tanker Investment had some issues with the integration due to delayed wetting approvals, of the 900 days for the fourth quarter, should we expect all of those being revenue generating or is there some repositioning there where we should be a little bit more conservative?
Kevin Mackay: No, I think you can expect those to simulate well into the spot market. Obviously, the ships coming out of drydock are going to have position to load ports. But in terms of wetting issues, we don’t anticipate anything based on the other ships we have taken have gone straight into load port. That was – one of the successes of this transaction was our ability to take into ships and not take that commercial hit. The hit that we did take was around the decisions to drydock the ships and that now gives us sort of a 5-year runway to maximize the earnings on them.
Magnus Fyhr: Okay, great. Thanks for clarifying.
Kevin Mackay: Thanks Magnus.
Operator: Thank you. There are no further questions at this time. Please continue.
Kevin Mackay: Okay, thank you very much, operator. Thanks everyone.
Operator: Thank you. Ladies and gentlemen, this does conclude the conference call for today. You may now disconnect your line and have a great day.